Operator: Good morning and welcome to the Mondelēz International second quarter 2016 earnings conference call. Today's call is scheduled to last about one hour, including remarks by Mondelēz management and the question-and-answer session. I'd now like to turn the call over to Mr. Brian Gladden, EVP and CFO of Mondelēz International. Please go ahead, sir.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Great, thank you, Paula. Good morning and thanks for joining us. Before we get started, I wanted to take a moment to thank Dexter Congbalay for his many contributions to our company throughout the years, including most recently running both Treasury and Investor Relations. As most of you know, Dexter will be leaving us this month. He's been a trusted partner. We'll wish him the very best both personally and professionally. I'd also like to introduce Shep Dunlap, who has joined us as our VP of Investor Relations. Shep brings a great set of skills and experience, and I'm sure you'll enjoy working with him as he settles into his new role here. With that, let me turn the call over to Shep to get started.
Shep Dunlap - Vice President, Investor Relations, Mondelēz International, Inc.: Thanks for the introduction, Brian, and I'm happy to be here. Earlier today, we sent out our earnings release and presentation slides, which are also available on our website, MondelezInternational.com. As you know, during this call, we will make forward-looking statements about the company's performance. These statements are based on how we see things today. Actual results may differ materially due to risks and uncertainties. Please refer to the cautionary statements and risk factors contained in our 10-K and our 10-Q filings for more details on our forward-looking statements. Some of today's prepared remarks include non-GAAP financial measures. You can find the GAAP to non-GAAP reconciliations within our earnings release and at the back of the slide presentation. With that, I'll now turn the call over to our Chairman and CEO, Irene Rosenfeld.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Thanks, Shep, and good morning. Despite a challenging environment, we continued to deliver solid results, and we're confident in delivering our 2016 outlook and 2018 margin targets. I'm pleased with the progress made by our teams in reinventing our supply chain, reducing overheads, and reinvesting in growth. Our strategy is working, driving strong near-term margin performance, providing fuel for investment, and positioning us to sustainably deliver top and bottom line growth. Long term, we expect our advantaged platform together with an ongoing focus on growth and margin expansion to drive organic net revenue at or above our category rates, double-digit adjusted EPS growth, improving cash generation, and significant return of capital to our shareholders through share repurchases and dividends. With that as context, let's review the highlights of the second quarter. Organic revenue grew 1.5%, including the negative impact of about a point from revenue management actions. Through the first half, our growth rate was 1.9%. Our power brands once again drove our top line, up 3% and in line with global categories. Emerging markets rose nearly 4%, fueled by currency-driven pricing in markets like Argentina and Russia. Developed markets were essentially flat but delivered another positive quarter of vol/mix while continuing to significantly expand margins. Our overall share performance was not yet where we wanted it to be, but we began to see meaningful improvements in a number of key markets, like chocolate in the UK, Germany, Australia, and India, as well as biscuits in Europe, and globally across our gum and candy business. This progress was partially offset by declines in some large markets such as U.S. biscuits and Brazil, where our near-term share positions were negatively impacted by aggressive competitive trade promotions. Brian will discuss market share in more detail in a moment. Adjusted OI margin for the second quarter was strong, up 210 basis points versus prior year. Cost control has now become embedded in our culture and we're firing on all cylinders, both in supply chain as well as in overheads. These first half results position us well for the full year. Our focus on cost enables us to expand margins while continuing to fuel growth. In that spirit, let me take you through two exciting opportunities that will be important drivers going forward. First, we're delighted to announce the launch of our Milka brand into China's $2.8 billion chocolate market. This is a prime example of the growth strategy in action. As we've discussed, most of our emerging markets are one- or two-category countries. We added gum to our leading China biscuit business in the second half of 2012. And today that business generates annual revenue of approximately $200 million. By leveraging a formidable power brand like Milka in a sizeable category white space, we see significant potential for chocolate in a market where per capita consumption is quite low, even by emerging market standards. We expect our unique brand assets, industry-leading innovation, a new world-class manufacturing facility, and strong sales and marketing capabilities will not only grow our business, but will also accelerate the category. While chocolate in China has recently been challenged, we believe we're well positioned to succeed. Our plans have been presented to customers and we'll enter the market in the next few weeks, well before the critical Chinese New Year season. Finally, while only a small part of our business today, we have significantly bolstered our capabilities in e-commerce. Although online snacks are relatively under-developed, we believe e-commerce will be increasingly important as consumer purchasing behavior changes. Our intent is to capture share in this fast-growing channel by leveraging our strong brands and marketing knowhow. Since the start of the year, we've taken a number of steps, including: enhancing our infrastructure; adding new experience resources and building capability; strengthening our partnerships with Amazon in the U.S., Alibaba in China, and with the e-commerce arms of our traditional retailers; as well as accelerating gift offers with personalized packaging and subscriptions on brands like Cadbury in the UK. Early results are very encouraging. In the first half, we grew our e-commerce revenue by more than 30%. Looking ahead, our goal is snacking leadership in e-commerce and over $1 billion in sales by 2020. The launch of chocolate in China and our progress in e-commerce are just two examples of investments that are continuing to build and transform our advantaged platform. Looking ahead, there's no question that the environment remains challenging, especially in emerging markets. We remain focused on what we can control, margin and share. To that end, we're taking a number of actions that will impact the second half. These include: increased A&C on our power brands; targeted investments in trade spending to narrow price gaps in key markets; several significant innovation launches, including chocolate in China; and continued expansion of our routes to market, including e-commerce, all while continuing to drive cost reduction across the enterprise. We remain confident in our strategy and execution to grow both our top and bottom lines over the long term and to create significant value for our shareholders. Before I close, I know many of you would like an update on the potential transaction with Hershey. While I can confirm that we did make an offer to Hershey, as you would expect regarding any potential M&A activity, we have no additional comments to make. With that, I'll turn the call over to Brian.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Thanks, Irene. We had solid financial results for the second quarter and the first half of the year. Specifically, we delivered another quarter of strong adjusted OI margin expansion and earnings growth. Adjusted gross margin of over 40% was flat in Q2, as the negative impact of mark-to-market as well as currency-driven inflation offset another quarter of strong net productivity. In fact, our efforts to reinvent our supply chain and deploy advantaged manufacturing lines of the future continue to drive margin benefits, as we delivered net productivity of better than 3.5% for the first half. Q2 adjusted OI margin was 15.2%, up 210 basis points. This was largely driven by the ongoing ZBB [Zero-Based Budgeting] impact on our overheads and especially our execution on shared service initiatives. In addition, the margin expansion included some one-time favorable impacts from asset sales in North America. These proceeds more or less offset the negative impacts of mark-to-market and the cost of our U.S. labor-related business continuity planning. We're pleased with our first half margin performance and are slightly ahead of our plan, as our cost execution has exceeded expectations. We're also investing in additional A&C and selected incremental trade spending during the second half to support top line growth and improve share. Let me now provide some color on regional performance for both revenue and margins. North America had a very solid – a very strong margin quarter. Adjusted OI margins expanded by 470 basis points, driven by strong productivity, overhead cost reductions, as well as the previously mentioned asset sale benefit, offset somewhat by the U.S. labor business continuity planning costs. We grew organic revenue nearly 1%, driven by vol/mix increases. Escalated trade spending by our competitors negatively affected our short-term results. Overall, biscuits were up only modestly. But Oreo, belVita, and Triscuit all delivered solid consumption growth. Candy posted strong results, driven by Sour Patch Kids and Hall's. In gum, Trident turned in another quarter of solid performance, and we began the relaunch of Stride late in the quarter, which should improve shares in the months ahead. As Irene mentioned, we have several strong programs in place to better position us for the second half. Europe also had an outstanding margin quarter, with adjusted OI margin up 350 basis points to 18%, driven by strong productivity and lower overheads. Organic revenue in Europe was essentially flat, although here too we're seeing a nice progression in vol/mix and share trends. Both our chocolate and biscuit categories delivered strong results in the UK and Germany, which helped grow vol/mix by 70 basis points for the region. Building on last year's launch in the UK, we also lunched Ritz Crisp & Thin crackers in France, which is delivering good results, as we take the brand to a new consumption occasion. In EEMEA [Eastern Europe, Middle East and Africa], adjusted OI margins were flat, driven by weaker demand and the resulting volume leverage impact. Organic revenue declined more than 2%, driven by a slowdown in the Middle East and North Africa, where economic and geopolitical volatility, including the impact of low oil prices, is having a more pronounced effect on consumer demand. A very weak Ramadan season in the Middle East also tempered the top line. Despite that backdrop, Russia turned in a solid performance, growing low double digits as a result of pricing actions to offset inflation. In Asia-Pacific, our adjusted OI margins were up 190 basis points, driven by improved overheads, strong productivity, and pricing. Organic revenue increased 2% and vol/mix was positive, up more than 1%. This is our fifth consecutive quarter of growth in Asia. India benefited from the launch of Bournvita biscuits, which addresses consumers' growing need for a morning snack under a well-known brand that delivers taste and nutrition. Chocolate also generated solid gains. Australia was also strong while Southeast Asia was up for the third straight quarter. Our Kinh Do business in Vietnam continues to be a bright spot. Our teams are executing well as we integrate this business, which provides a platform to drive our power brands through its distribution network of 130,000 outlets. China declined low single digits, as the biscuit category slowed and we lapped last year's Trident gum launch. While overall China consumer demand has recently slowed, we believe longer-term dynamics will improve, as evidenced by our significant investment in chocolate that Irene discussed earlier. In Latin America, adjusted OI margins declined 210 basis points. Difficult economic conditions in Brazil pressured margins in the form of currency and volume headwinds. Latin America organic revenue grew nearly 9%, led by strength in Argentina and Mexico. Argentina grew double digits primarily due to inflation-driven pricing, while Mexico had a strong first half and continued to gain momentum, as strong vol/mix contributed to high single-digit revenue growth. Brazil declined low single digits, and we see no short-term catalyst for improvement in the Brazilian economy. We're taking actions to close selected price gaps, but we expect the market to remain challenging in terms of both revenue and margins at least through the second half. Let me spend a moment providing a few highlights by category. In aggregate, categories have slowed to about 3% year to date, driven by key emerging markets like Brazil, China, and India. Our global biscuits business grew nearly 2%, with strength in the UK, in the U.S., and Germany. Oreo led the way, growing high single digits. In addition, we're continuing to drive our well-being portfolio. belVita grew high single digits globally, while our GOOD THiNS innovation in the U.S. also posted solid results. While our biscuits share has been challenged in some key markets, we have a number of actions underway to address the issue. In the U.S., we're innovating across several winning biscuit platforms while investing incremental trade spending behind our DSD [Direct Store Delivery] execution. In Brazil, we're investing in additional advertising and consumer support while selectively narrowing price gaps on key SKUs. Our focus remains on improving our share position. We expect the incremental actions we're taking will improve our share position in the second half. Chocolate grew more than 2%, driven by solid results in India, Australia, and the UK. Also in the quarter, Germany continued to deliver strong growth as we lapped last year's revenue management actions. More than half of our revenue in chocolate grew share. Gum and candy increased nearly 2%, led by solid performance in the U.S. and Mexico. About half of our revenue in this category gained or held share. Now turning to earnings per share, for Q2, our adjusted EPS was up more than 4% on a constant currency basis, which includes the impact of coffee dilution. And for the first half, adjusted EPS increased 17% on a constant currency basis. Operating gains of $0.15 were the primary driver of the improvement. Below the line, adjusted EPS declined $0.01, as dilution from last year's coffee deal more than offset benefits from lower share count, taxes, and interest expense. Note that this will be the last quarter of coffee dilution, as we lap the close of last year's coffee transactions. I would note that both JDE and Keurig performed well in the quarter and contributed some upside versus our expectations. In the second quarter, we delivered more than $500 million of free cash flow and improved our cash conversion cycle by 20 days to minus four days. Returning capital to our shareholders remains a priority for us, and we've returned more than $1.8 billion to shareholders through the first half. We've repurchased more than $1.3 billion in our shares at an average price of $41.07, and we continue to target $2 billion in share repurchases for the year. Last week, we also announced a 12% increase in our quarterly dividend. Dividends remain an important part of our capital return strategy, as we target a payout of at least 30%. Since the spin, we've returned nearly $13 billion of cash to shareholders. Let's take a closer look at our current outlook. As you've heard today, we feel good about our first half results and expect continued strong performance in the second half despite the macro backdrop, especially in the emerging markets. Specifically, we now expect the following for 2016. We've modestly reduced our organic net revenue growth outlook to approximately 2% from at least 2%. This reflects the increasing challenges we're seeing in global categories and includes about 100 basis points from revenue management actions. We continue to expect adjusted OI margin of 15% to 16% and are increasingly confident in delivering this commitment. As you think about the second half, we expect heavier investments in the third quarter, which would lead to higher margins in the fourth quarter. We continue to expect double-digit growth in adjusted EPS on a constant currency basis. Our view now includes an incremental $0.03 to $0.05 versus our last outlook due to solid operating performance, lower interest expense, and strong performance in our coffee joint ventures. Unfortunately, based on recent spot rates, this upside will be mostly offset by currency. We expect currency to be a four-point headwind to revenue growth, up from three points. And for adjusted EPS, we estimate an $0.08 headwind, up from $0.05. This also includes our view of the Brexit impact on our results, which is limited to an approximate $0.02 headwind related to the currency translation impact on our UK-based earnings. Our net transaction exposure is very limited, as we buy a majority of our global cocoa needs in British pounds, which offsets net transaction exposure in the UK. So to summarize our EPS outlook, the upside we're seeing in EPS allows us to fully offset the negative impact of currency changes, including Brexit. Finally, we still expect free cash flow, excluding items, of at least $1.4 billion. So to wrap up, we're pleased with our results in the first half. We delivered significant margin expansion while continuing to invest behind our power brands. Our vol/mix performance continued to improve, and we returned $1.8 billion to shareholders. While we remain cautious about the challenging operating environment, we're confident in our ability to deliver on our top and bottom line targets, and we remain on track to reach our adjusted OI margin target of 17% to 18% in 2018. With that, let's open it up for questions.
Operator: Your first question comes from Chris Growe of Stifel.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Hi, good morning.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Hi, Chris.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Hi, Chris.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Hi. I had just two questions for you, if I could, to start off. And the first question I wanted to ask was just in relation to your developed versus developing market growth. This quarter seemed to show a little softer growth in developed markets actually. I had expected a little bit of pressure in Brazil and some of those markets, and you certainly cited those. But overall emerging market growth was about consistent with where it was in the first quarter. Do you expect that to weaken a bit as it goes to the second half as some of these markets are more challenged? And is it developed markets then pick up a little bit in the second half of the year from where they are currently?
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Actually, I think, Chris, you have to separate – I think your assessment about emerging markets is correct. Obviously, we're feeling like – having watched what's happening, particularly in Brazil, we're seeing more softness there than we had anticipated. But I'd say in our developed markets it's really all about North America. And Europe is actually continuing to improve sequentially. We're seeing strong vol/mix performance. We're seeing nice performance on share. And so the big change is really on our U.S. biscuit business, whereas we mentioned we saw some very aggressive trade spending from some of our competition. It is not helping to grow the category, but we certainly are responding. And I would tell you even in the early couple of weeks in July we're starting to see that business come back. So net-net, we do expect our developed markets to continue to show strong performance in terms of vol/mix improvement as well as share. But our overall forecast continues to be somewhat muted because the aggregate category growth, which we had thought would be in the 3% to 4% range, is below the lower end of that range, and that's really what's driving our forecast.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: The other thing I would add, Chris, is just emerging – the growth was similar in Q1 and Q2, but the quality in terms of vol/mix got better. So it's not nearly as price driven as it was in the first quarter.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Okay; that's helpful. Thank you for that color. Just a quick question for you then on the guidance. Obviously, the revenue growth guidance has moderated a bit and so has the SKU rationalization expectation or activity there. On the margin side, are you seeing a little better margin? I think we were pushing more toward the low end of that range. Is 15% to 16% now a better range, if you will, versus the low end for your operating margin in 2016?
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Yeah, I wouldn't change, Chris, the view. We feel really good about the first half. As I said, we're a bit ahead on the cost execution. Given the dynamics in the market, clearly it's a volatile environment, and we are planning to invest back and probably more than we would have expected in the first half of the year in the second half to drive some improvement in those shares and the growth. So I think we feel good with where we are. We're not really changing the outlook on margins. And being at 15%-plus for the first half gives us confidence for sure, but we're going to invest.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Okay; thanks so much for your time.
Shep Dunlap - Vice President, Investor Relations, Mondelēz International, Inc.: Thanks, Chris.
Operator: Your next question comes from Bryan Spillane of Bank of America.
Bryan D. Spillane - Bank of America Merrill Lynch: Hey, good morning, everyone.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Hey, Bryan.
Bryan D. Spillane - Bank of America Merrill Lynch: Just wanted to ask, I guess, a more broad question about capital allocation, and completely understanding that you can't talk specifically about Hershey. But one question that we've fielded quite a bit over the last few weeks has been just from a broader perspective, Irene, that you're at a point now where you're considering doing a relatively good-sized acquisition. Can you just talk to how you get to that point? Is it because the company is at a point now where you feel like you're ready to make a – can take on a transaction like that? Does it make a statement about what you think maybe the medium or longer-term outlook is for some of the categories, given what's changed in emerging markets? Just some context or color in terms of how you got to the point where you're ready to at least contemplate potentially making a large transaction.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: So, Bryan, our capital allocation strategy has not changed. And as I said in my remarks, we have no additional comments on the Hershey situation.
Bryan D. Spillane - Bank of America Merrill Lynch: Okay; thank you.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Thanks, Bryan.
Operator: Your next question comes from Andrew Lazar of Barclays
Andrew Lazar - Barclays Capital, Inc.: Morning, everybody.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Hey, Andrew.
Andrew Lazar - Barclays Capital, Inc.: Two things for me. One, the move into China with the Milka brand -- I guess my question there is following on to Bryan's really is more about timing. I guess why is now the right time for something like that? Are there capabilities now that you didn't have before that you have now? Is it there's more clarity on productivity efforts that enable the investment at this point? I'm really trying to get a better read on the timing of this announcement because obviously the white space here in China in chocolate has been around for quite some time.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: So we have been planning this for some time, as you said. And one of the most important poles in that tent is local production. And so we have a factory now up and running in Suzhou, and it's ready to go. We have continued to monitor the marketplace to understand the opportunities, both in terms of our portfolio as well as in our channels. And obviously, e-commerce is an important channel for us in China, and our partnership with Alibaba is a critical piece of our launch plan. So it was, frankly, just the opportunity to get all the various elements together for the launch plan. But we think it is quite representative of the growth opportunity that we see in a number of our emerging markets.
Andrew Lazar - Barclays Capital, Inc.: Okay. And then 2Q gross margin came in I guess a little below what we had been modeling. I realize there was less of a benefit from mark-to-market, but I think gross margin comps do get tougher in the back half. And I know this is supposed to be a very big year with respect to supply chain efforts, and we're seeing some of that come through. So I guess is 2Q the way we should be thinking about gross margin expansion for the next few quarters, or are we likely to see the rate of year-over-year change for gross margin improve moving forward?
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Look, I guess, Andrew, I would say if you look at the quarter, maybe I'd start with year-to-date gross margins up 150 basis points ex-mark-to-market, the quarter ex-mark-to-market up 70 basis points. Developed markets have been very strong on gross margins. I think in the quarter, you would have seen some challenges in terms of keeping up with currency-driven inflation in a couple markets. Brazil is a good example. EEMEA is a bit of a challenge in terms of volume leverage. So I would tell you, as we've said and as we shared in the conferences, this is going to be primarily a gross margin driven continued margin expansion. The supply chain work that we're doing is still significant. We feel great about that. The net productivity was very strong. And I think gross margin will continue to be a driver of the margin expansion for us.
Andrew Lazar - Barclays Capital, Inc.: Okay, thank you.
Operator: Your next question comes from Matthew Grainger of Morgan Stanley.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Good morning, everyone. Thanks for the questions. Brian, I guess I wanted to ask first about your revenue management efforts. My sense is that you're still in the relatively early stages of analyzing and starting to unlock some of those efficiencies. So as you talked today about the need to reinvest back into trade in the U.S. and a few other markets, should we really expect trade optimization to have a meaningful impact on price/mix dynamics or margins this year, or is it something that you're looking at over more of a multiyear timeframe?
Brian T. Gladden - Chief Financial Officer & Executive Vice President: I wouldn't really change anything from what we've said. It continues to be a large spend for us and a big opportunity. We've mobilized resources and analytically are better understanding our trade spend now on a global basis. And I would say we continue to look for opportunities to more effectively manage that spend. In some cases, it's going to allow us to reinvest those dollars in important markets where we think that's necessary to drive growth and good margins. Really for us, it's about balancing share and customer relationships and margins, and that's going to be an important part of how we manage the overall growth of the business and the margins of the business. So nothing's really changed in terms of what we're doing. The activity and the initiative is on track. And I think you'll always see us selectively reinvest trade spend where we have to where we think that's a prudent decision with good ROI.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Okay, thanks, Brian, and just one follow-up on the organic sales trends in Eastern Europe. You mentioned some newer issues emerging in the Middle East and North Africa. I was just wondering if the impact from those was amplified by the seasonal timing in the quarter or a difficult comparison. And going forward into the second half of the year, would you expect the region broadly to return to some level of positive organic sales growth?
Brian T. Gladden - Chief Financial Officer & Executive Vice President: I would say not a lot of seasonality in that. It's more the macro dynamics in oil prices, political instability. You can go right down the list. Clearly, Saudi Arabia, Nigeria, Yemen, Syria, those are markets that are challenging, and I would say just consumer demand was down and categories have been down. So we do see some signs of stabilization as we look to the second half of the year. And as we talked about, the other elements of that business, Eastern Europe, Russia has done very well, and there are parts of Africa that have also done well. So we'll manage it. I think it's one of the reasons why you saw us take down the overall view on revenue for the total year is that instability and that volatility.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Probably the only seasonality that does have an impact is Ramadan in the Mideast. And it was a slow Ramadan season in large measure, as Brian said, because of the macro environment, driven by low oil prices. And that's volume that just doesn't come back. But net-net, our outlook for a number of the other countries is to see continued momentum.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Okay, great. Thank you both.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Thanks, Matt.
Operator: Your next question comes from Robert Moskow of Credit Suisse.
Robert Moskow - Credit Suisse Securities (USA) LLC (Broker): Hi, thanks for the question. I think this is the second quarter in a row where you've said that you're increasing A&C support. But I'm having a little trouble understanding quantifying that and then figuring it out as a percentage of sales. Is it going up? Because – and then you also said you're increasing trade promotion in certain areas. So just in terms – maybe I could break it out this way. Internally, are you telling the organization that you're putting more money into marketing than you thought in the beginning of the year, like consumer marketing, and at the same time also more into trade promotion simultaneously? Thanks.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: I guess, Rob, it varies a little bit by market. But I think overall we are getting good returns on the A&C investment, and that's why we continue to make those investments. Our A&C is above 9% of revenue. You won't have visibility to that right now, but we continue to see A&C as a critical driver of our brand equities. And certainly as you start to see the recovery in places like the UK, Germany, India, Australia, EU biscuits, it's all reflective of the investments that we're making. And so those are the kinds of places that we will continue to make investments as well as in digital marketing. That said, there are selected hot spots that we've talked about, particularly markets like U.S. biscuit and Brazil where our price gaps are not where we want them to be. And so we are going to invest some trade back in that business, but that's not going to be without A&C support to continue to drive the longer-term brand equity. So net-net, we are increasing A&C in those places where we feel we're getting an adequate return, and that's an important part of our algorithm going forward.
Robert Moskow - Credit Suisse Securities (USA) LLC (Broker): Okay, thank you.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Thanks, Rob.
Operator: Your next question comes from David Palmer of RBC Capital Markets.
David Palmer - RBC Capital Markets LLC: Thanks. Good morning, everybody. As a follow-up on that trade promotion question and also throwing in SKU rationalization, can you provide any specific examples of changes that you've been making? And have your expectations around trade promotion spending changed for this year given the competitive environment you just laid out?
Brian T. Gladden - Chief Financial Officer & Executive Vice President: For sure, David. I think the reality is we are seeing a little bit different environment where not only we're a bit weaker in terms of category growth in some markets, but seeing how competitors play. And a couple examples we called out in the discussion are North American biscuits and Brazil, where we've seen more aggressive competitive trade spend that's affected our shares and our growth. So that's clearly a place where we're redeploying trade spend. And I would say we're finding, to the first part of your question, we are finding opportunities to free up some dollars in other trade spending we do across the business and realign it in those markets, which is going to be important given the environment that we're seeing.
David Palmer - RBC Capital Markets LLC: Are there any specific examples that you can cite in terms of bigger buckets that have changed with regard to trade promo spending and SKU rationalization?
Brian T. Gladden - Chief Financial Officer & Executive Vice President: SKU rationalization has been ongoing. That's a contributor as much to what we're doing on net productivity and supply chain reinvention. So without getting into specific details on where we might be cutting trade spend or specific accounts, I'm not going to probably get into that.
David Palmer - RBC Capital Markets LLC: Thank you.
Operator: Your next question comes from Jason English of Goldman Sachs.
Jason English - Goldman Sachs & Co.: Hey, good morning, folks. Thank you for the question. I wanted to circle back to Rob Moskow's question in terms of A&C spend. Can you give us the specifics in terms of what advertising within SG&A has done year to date and what your expectation is for the full year?
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Jason, we'll give you that number at the end of the year as we always do in our 10-K. But again, advertising is an important component of our overall brand equities. We will continue to look to make sure that our share of voice and share of market are well aligned. And I've been very clear about where the key markets are where we're making those investments. But we will continue to monitor the returns that we're getting on those investments, both near term as well as over the longer term.
Jason English - Goldman Sachs & Co.: Okay; let me try another one then. Let's talk price real quick. I appreciate that vol/mix has gotten better. Comparisons certainly are more favorable going forward. But price is sliding a little bit. It sounds like the trajectory on the forward is even weaker, which isn't inconsistent with what we're hearing from other companies. Is that consistent, though, with how you're looking at the world right now?
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Look, covering costs with our pricing is critical to our algorithm, as you know. And so it is our intent to continue to price to offset higher input costs, particularly those that are common to industry. And currency in particular continues to be a headwind for us in most markets around the world. And so the key for us as we think about protecting gross margins as well as continuing to drive our ability to invest in our brands, making sure that we have adequate coverage of our cost is critically important. As the market leader, we typically are the first to increase prices. It does often lead to some temporary dislocation, but it ultimately recovers. I talked a lot about – last year I talked a lot about our share position in chocolate in general, but particularly in markets like the UK and Germany. It took some time for the consumers to adjust to those new price points. And now we're starting to see our shares recover. So there's no question there's some short-term dislocation, but our ability to cover costs with our pricing is critical to our overall algorithm.
Jason English - Goldman Sachs & Co.: Got it; very good.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: 2016, as we've said to you, pricing will be less of a factor than it has been in the past years, but we still do see a couple of the emerging market economies that are going to require that we continue to price.
Jason English - Goldman Sachs & Co.: Yes, yes. Thank you very much.
Operator: Your next question comes from David Driscoll of Citi.
David Cristopher Driscoll - Citigroup Global Markets, Inc. (Broker): Great, thank you and good morning.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Hey, David.
David Cristopher Driscoll - Citigroup Global Markets, Inc. (Broker): Brian, just a minor, minor thing -- apologies here. You said $0.08 on the FX impact. I think your slide actually says minus $0.09. Did you just misspeak, or is it – which one is it, $0.08 or $0.09?
Brian T. Gladden - Chief Financial Officer & Executive Vice President: It's $0.08, and if the slide is wrong we'll get it fixed.
David Cristopher Driscoll - Citigroup Global Markets, Inc. (Broker): No worries; it's minor. Just want to make sure I'm writing the right things here. The big picture, I'd just like to go back to the capital allocation and just at least give it a try, see what you think of this question. But if the margin upside is as good as laid out and if there is more to come after 2018, why not just take the capital and buy back stock and execute the margin improvement program? Wouldn't a large acquisition require the sale of equity, which is presumably under-earning right now? And then I just want to say, Irene, that I'm really trying to make this not a Hershey question, and I totally understand your sensitivity. I'm really trying to focus on the margin potential side of this and how big is that margin potential over time. And then lastly, I'd just note this builds on the big margin changes that we've seen at the peers with some announcement for bigger margin expectation having just gotten rolled out. So it's incredibly topical. Thank you.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: So, David, we really believe our point of difference versus other companies is our ability to grow on both the top and the bottom line. We have an advantaged set of assets both in terms of our brand portfolio, our routes to market, as well as in our overall geographic footprint. And we will continue to invest in those assets to drive long-term growth. In the near term and frankly over the longer term, the funding source for those investments will come from continued margin expansion. And as you rightly point out, we see opportunity, as you've heard from us this morning. We continue to see opportunities to deliver margins in the 17% to 18% range in 2018, and certainly we will continue to see opportunities beyond that. So margin remains the source of expansion to the bottom line as well as a source of funding for us to continue to invest in our brand franchises. Even as our global categories have slowed, snacking categories are growing at a much faster rate than other food, and we continue to see the long-term potential of investing in that growth opportunity.
David Cristopher Driscoll - Citigroup Global Markets, Inc. (Broker): Okay; I'll leave it there. Thank you.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Thanks, David.
Operator: Your next question comes from Alexia Howard of Bernstein Research.
Matt Romariz - Sanford C. Bernstein & Co. LLC: Hi, this is Matt Romariz standing in for Alexia. Good morning. Thanks for the question. And I was just wondering if you could give us a brief update on your China business. You mentioned the initiative of launching chocolate there now. Basically, it's broad-sized within the APAC segment. Is its profitability broadly in line with the segment profitability we see? Just general color in the China business would be nice. Thank you.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: China is an important market for us. We have some of the most attractive gross margins in that market of any of the emerging markets in the world. But there's no question that the economy has weakened, and that's contributed to slower growth of our categories. And so we have continued to selectively invest in marketing support in our power brands and in particular in e-commerce, as the fastest growth in e-commerce is occurring in China. And we actually see close to 10% of snacks being purchased online, and it's one of the drivers of the partnership that we struck with Alibaba. So we really believe that strong programming we have on our core franchises, biscuit and gum, together with the launch of China will help us to continue the momentum in that market. But near term, we do remain cautious, given the economy. But there's no question as we look at the long-term profile, the growing middle class, the urbanization of the population, and the opportunity for continued distribution gains, China will continue to be an important part of the growth story.
Matt Romariz - Sanford C. Bernstein & Co. LLC: But any ballpark numbers for profitability that you can share?
Irene B. Rosenfeld - Chairman & Chief Executive Officer: We are not providing profitability by country.
Matt Romariz - Sanford C. Bernstein & Co. LLC: All right. Okay, thank you.
Operator: Your next question comes from John Baumgartner of Wells Fargo.
John Joseph Baumgartner - Wells Fargo Securities LLC: Good morning, thank you.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Hey, John. Are you with us, John? We lost you.
Operator: Okay, he may have got disconnected.
John Joseph Baumgartner - Wells Fargo Securities LLC: Can you hear me?
Operator: Okay, John. Go ahead.
John Joseph Baumgartner - Wells Fargo Securities LLC: I'm sorry, sorry about that. I'd like to ask about the power brands and that the rate of growth there has really moderated from solid mid-single digits the last two years down to 3% this quarter. Can you walk through what's behind that deceleration? And maybe specifically the extent that you've already realized some of the easier distribution gains, and now it's just a slower build going forward, or is it really just tied back to biscuits and the macro issues in general?
Irene B. Rosenfeld - Chairman & Chief Executive Officer: I would say it's the latter, John. There's no question that if you think about our overall share performance, we're only down 0.3 points of share in the U.S. biscuit. But given the size of that market, it has a profound impact on our overall performance. And so there's no question that getting that U.S. biscuit business back growing again more significantly is a critical piece of our overall performance. But our power brands will continue to be the growth drivers of our overall portfolio. They carry higher margins. They grow at a faster rate. And we expect that we are now over time continuing to put them on advantaged assets through the work we're doing in supply chain reinvention. And so the Q2 numbers were largely impacted by the U.S. biscuit situation.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: And there are big power brand exposures in some of the emerging markets that have slowed, John, so it's really the macro.
John Joseph Baumgartner - Wells Fargo Securities LLC: But the white space opportunity is still just as strong as it's been going forward?
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Absolutely, absolutely.
John Joseph Baumgartner - Wells Fargo Securities LLC: Great, thank you.
Operator: Your next question comes from Kenneth Zaslow of BMO Capital Markets.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): Hey, good morning, everyone.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Hey, Ken.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Hey, Ken.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): I have two sizing questions in terms of the new markets. When you think about China and the chocolate market, you said that gum is growing to about a $200 million business over a four-year period. Is that the right metric to think about it and how big this white space opportunity is? Is it bigger than that? Can you just size the opportunity for us?
Irene B. Rosenfeld - Chairman & Chief Executive Officer: I'm not going to give you our business proposition. But again, we see it as a very attractive market. And frankly the opportunity, many of the players in that market have not performed particularly well of late, and so we see it as a real opportunity for us to take some leadership and get the category growing faster.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): Okay, all right. And then the second question that I have is when you think about the online business, I think you said $1 billion in 2020. Is that all incremental? Does that take away other business? How much of that do we actually think of as truly new business? Is there a way to parse that out as well?
Irene B. Rosenfeld - Chairman & Chief Executive Officer: Obviously, it's early days, Ken, and so I think it's hard to tell you exactly how incremental it is as consumers shift their behavior from more traditional channels. It's not going to be 100% incremental. But there's no question that we have the opportunity as we look at the kinds of items were offering in those channels as well as the nature of the consumption occasions that the consumer is using those channels for, be it gifting or subscription opportunities, that clearly will be incremental to our base business. And so it's one of the reasons we're so encouraged about that opportunity and have chosen to invest significantly behind it.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): Okay. I guess what I'm trying to get at is I understand that this year is a little bit weaker in terms of sales growth relative to your long-term expectations. But are there other legs to the stool like these that you expect to see acceleration? Is that the way to think about it? Is that how you see white space opportunities in these growth algorithms, and that's how you're going to get back to that higher level of growth? Is that the way to think about it?
Irene B. Rosenfeld - Chairman & Chief Executive Officer: I think the opportunity is both white space in terms of our category participation as well as our channel participation. As we look at emerging markets, for example, we still see growth in the traditional trade. And so part of our investment in route-to-market in areas like Brazil or India or even China as we think about getting outside the main cities is designed to access those consumers and that consumption that we don't cover with our participation in the modern trade. So it's both white space with respect to brands and innovation opportunities as well as with respect to channel.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): Great, I really appreciate it. Thank you.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Thanks, Ken.
Operator: We have time for one more question. Your final question comes from Jonathan Feeney of Consumer Edge Research.
Jonathan Feeney - Consumer Edge Research LLC: Good morning, thanks for getting me in, just a couple quick ones. First, if you look at what Hershey did recently in China, it actually extends the milk chocolate Hershey brand to a lot of different places. They've recently had to significantly retrench their growth expectations. So looking at that and maybe how much penetration and competition there is in the chocolate business, what it is about Milka that makes you think it's a good time right now to launch in China? And secondly, if I can, what is it about just this fascinating 10% or so of snacks being bought in China via e-commerce? What is it that's going on in that market that makes that consumer want to buy snacks through your Alibaba partnership, e-commerce in general? And can you bring that to North America, to Latin America, other markets in a way where Mondelēz can well outpunch the competition in that channel? Thanks very much.
Irene B. Rosenfeld - Chairman & Chief Executive Officer: So, Jon, let me answer the second question first, which is absolutely we see the opportunity. There's no question. There are different models within e-commerce. Alibaba is much more of a single-item model versus some of the models that we see with some of our traditional retailers in the developed markets that are more just a market basket approach to a way to buy their normal purchases. So we see every opportunity to learn from the experience we're having with Alibaba and bring some of the unique items, some of the subscription opportunities for brands like belVita, for example, to the online space and to drive our growth. And that is the big opportunity that we see. We are certainly learning a lot from the various partnerships that we have around the world. With respect to chocolate in China, we have studied this for quite some time. The Chinese consumers love brands with personality. We've done a lot of testing with the consumer, and our Milka bundle is a very unique bundle. The purity of Alpine milk together with some of the assets that you're familiar with, the Lila cow, for example, are really positive with the Chinese consumer. And we have every expectation that we can actually bring growth back to this market with the launch of Milka.
Jonathan Feeney - Consumer Edge Research LLC: Great, thanks very much.
Brian T. Gladden - Chief Financial Officer & Executive Vice President: Thanks, Jonathan.
Operator: Thank you for your participation in today's conference. This does conclude today's conference call. You may now disconnect.